Jeremy Frommer: Good afternoon, everybody. Thanks for joining. I'm going to get us started here in about a minute. So I figured if you don't come today's call without a question for me, I'm not 100% sure why you're here. You have to have thought of some question or some piece of knowledge you're trying to gain from joining an investor call like this. I try to think about these calls more as Q&A opportunities than there are opportunities for me to speak too much. I wrote down a few thoughts. Often, we talk about inflection points. If I look back over the last 10 years, I'm sure I've written many letter as a CEO and as a Chairman about an inflection point, and the truth is, is that in the micro cap in the small-cap world, the entire journey is defined by a series of inflection points because it's so much about survival in the beginning. It's not as much as people think, I have a great product. I have a great team. It's about how you deal with a lot of rough times getting something off the ground. And all entrepreneurs know this and all the best ones have gone through it. And shareholders in this space in the public markets, which let's not call them something that they're not. They are public markets, but they behave like private markets. First of all, any investor who invest is in the small-cap entrepreneurial world and is looking for short-term gain is in the wrong space. This is like the private equity market. It's 6- to 10-year holding period. And if it's a score, it's a big score. So this is really about in our world, it's really about surviving particularly when there is very little there's very little clear paths, it's a space filled with obstacles. Many of the shareholders on the call today are from an acquisition we did recently with FLYHT previously named [ Fluger ]. And really, when you look at that acquisition, that was a win-win for both sides, that's the kind of -- if you're a shareholder, and you're in a company, for instance, that's entrepreneurial-minded like [ Fluger ] was looking to IPO itself and along comes an opportunity for a company to purchase it that's on its way to that IPO. That's an inflection point. Now, when you're a shareholder in this space, you're looking for something real, something transformative, big score. And that 6- to 10-year waiting period has to be rewarded with the proverbial 10 bagger. But there really is a deeper truth that drives both companies and investors forward. And that is creating or in our case, recreating or being part of the future. And in an age of radical transparency, I thought we'd get right to the point of the call, which is the future. What do you want from it? And what do we want from it? You want to be able to have tradable liquid shares in a company that I hope you're invested in over time that will make the time invested with the value earned at the end of it. And so when I look at what I want, I want to be able to be rewarded for providing you with that opportunity. I would like to be able to run a company that competes in the public markets, makes money in the public markets and trades at a significant premium because of the quality of its team, its earnings, its product and its entire narrative. In our case, that narrative has changed recently. And that's because economic cycles change rapidly, not just that they change rapidly in terms of the scope of the change, but they change rapidly in terms of the time between business cycles today. Utilizing a publicly traded entity to buy or build private entities to create that arbitrage of value is something that people have chased for hundreds and hundreds of years of modern capitalism. I think that when we look at created and what it's gone through the past I would say, 6 months since the acquisition of FLYHT, it has been to set us up to deliver on that value. How we're going to deliver on that value is by racing for a listing on a national exchange. And I hope that when we get to the national exchange, rather than find the reward of management to be sellers. My goal is hopefully to have turned many of you into buyers. And with that, I would say, again, what you want, I understand. That's the role of the CEO. Many of you I have spoken to directly over the phone. Many people are uncomfortable with this kind of radical transparency that I practice. I don't know any other way of doing it. And so for me, I know what you want. I hope that you know what I want. And then you trust that you'll put your money into an investment that I will take seriously and work to create the return on that investment that you initially made in either my company or FLYHT. With that said, I don't want to discuss things that I've already put in the press release. I'd like to talk about any questions that you may have regarding the earnings regarding the revenues, regarding the uplifting regarding getting liquidity in the stock. Any questions that you have I'd love for you to just ask the question whether it's through the chat or raising your hand. And one of us will see it and answer your question. So who's going to ask the first question?
Jeremy Frommer: Okay, I see 1 question. What's the question? Aya, do you have the ability to....
Unknown Executive: Yes. Here, I see Michael has raised his hand.
Jeremy Frommer: Michael, how are you? Michael?
Unknown Analyst: Can you hear me?
Jeremy Frommer: Now I can hear you.
Unknown Analyst: Yes. This is [ Steve Cohen ], Mike, are you there? Yes. I'll go first if its okay for Mike. Okay. So I'm Steve Cohen, and I missed the very first part. But is your goal to raise more money from the investors in order to get to the different offering. Is that your ultimate goal? Because I watch the stock and I watch the price and I've seen it come down. And I don't know if it's being delisted or not. But what's your goal for getting it on a different exchange?
Jeremy Frommer: Thanks for the question. That's, again, as I said, it's what you guys want to hear is the plan for that. There's no plan for me to raise any capital in the near term. We have done all the raising we've needed to do. And we will now apply to a national exchange I don't like to say which exchange until we actually do it. But I mean, as a side note here, the very nature of the NASDAQ makes it more susceptible to the thing that I didn't understand when we first started trading on the NASDAQ. And remember, Steve, I've gone through this process before. The stock was up on the NASDAQ originally. Now I've been CEO throughout that period. And what I learned was if you think that you're going to get an underwriting done to get your stock up to a national exchange and avoid the toxicity that comes along with it, it's almost an impossible feat. So what we decided to do because to have raised enough cash over the last year, such that we've increased our net equity, we've increased our shareholder base. We've increased our market cap. And now we've increased our cash, we can apply to the exchange of our choice and not have to do a traditional underwriting. We're far from being delisted, man, we were delisted. We were kicked off the NASDAQ kicked down to the OTC kick down to the pink sheets. All because of a series of unfortunate events in a very difficult time in this environment, this small-cap entrepreneurial space. But far from being delisted, we're getting ready to apply to a national exchange and doing it in a way that others don't try to get it done. And I think that's one of the most important things that I'm trying to articulate that what we're going to attempt to do is list to a national exchange without a traditional underwriting without raising additional cash from here because we have already raised the cash. Any other questions around that or anything else, I'd love to answer, Steve. Did that answer that question for you?
Unknown Analyst: Can you still hear me?
Jeremy Frommer: I sure can.
Unknown Analyst: So -- but doesn't -- like I don't -- how do you go from paying sheets to the NASDAQ? In other words, so we raised revenue. What are we going to do like -- I'm not familiar. Is it a new listing? Is it a public offering? Is it -- how do you get -- it's what?
Jeremy Frommer: Well, I mean, it's an application. There's -- at both the New York and the NASDAQ, there's a listing group that is there to work with entrepreneurial, that's their job, getting entrepreneurial companies listed on the exchanges. You have to hit certain criteria. One of the toughest criteria that micro-cap and small-cap stocks face is hitting the net equity and maintaining the net equity threshold. And sure enough, that's why we lost our standing on the NASDAQ many years ago. And so we already today, because of a lot of hard work by a lot of good people. We've been able to rebuild our balance sheet such that we've got nearly $10 million in positive net equity. And so when we uplift to the exchange, we've already got the cash needed. And to do that, you need to have approximately, approximately -- whatever your burn is, you have to have approximately 15 months of that value in your coffers cash-wise. Then you have to have over 400 shareholders, of which we have. Then you have to have a minimum amount of shares in your float of 1 million shares. And then finally, you have to have a market cap of approximately $15 million of the float -- the float cannot include my shares or my partners' shares. That one is a little tougher to hit every $0.01 up is $0.01 closer to that number. But again, there are multiple -- it's like getting listed on a national exchange. It's like a Rubik's Cube. There's auditors, there's as I just articulated, there are qualifications, there are conversations that are subjective about your business model with the listing groups at the top of the exchange then you're signed an agent to look upon your company and turn you inside out and analyze you. They remember the -- like when we all look at reality of the space and the people who have invested in -- who have invested in our company when it's one of your first investments in sort of this small cap arena, I empathize. I particularly empathize with the horrible 2 or 3 years we've had. Believe me, it's done much more damage to me than you. But the truth is that in the end, the only way to a national exchange is through months and months of work and focus by an expert team. There's no kind of shortcuts. But if you make it and if you do it the way we're trying to do it then you're the 1 in a 1,000 shot and it really is a 1 in 1,000 shot, right? On the OTCQB alone, there's approximately 1,200 companies. Now that's where we are today on the OTCQB. On the New York Stock Exchange, I don't know, maybe 3,000, I just don't know these days, how many are on it. Of the CEOs on the OTCQB of the 1,200 I wouldn't be surprised if less than 10% are qualified to run a national exchange company. It's kind of like race car driving, right? Steve, it's like you can't get into a car that you can't drive. So like how we get up to the exchange man, I know like I, again, particularly for the investors who are in [ Fluger ] and had been looking for that IPO moment. The problem is, is that the world changed so significantly in this space when the capital markets dried up that if people didn't do the kind of deals we did in that moment to generate the type of net equity you need to qualify for an uplifting to a national exchange than your company is dead. And so after the OTCQB, there's about 10,000 stocks on the pink sheets of which there's probably only 10% of them -- well, less than that, I would say, probably like 1% of them, 2% of them who are qualified to get their company off the pink sheets up to the OTCQB. And then once you're on the New York, the ability to take your company, the first step everybody talks about is a $100 million company. And that's for another question. Let me answer some other questions, please.
Unknown Executive: Andrew is raising his hand.
Jeremy Frommer: Andrew, how long have you been invested in following my story?
Andrew Qranah: Around 5 years. I actually -- I invested when it used to be about $3. And I never sold when it had like $10 or $9.80 and I've been stuck since then. By holding.
Jeremy Frommer: I wish I -- you know what, I really wish all of you had been able to sell the prices like the amount, like I feel for you, particularly when I see names in our NOBO List, when you run a micro cap stock, people think it's just their impression of you is totally different than what it really is, although I'm sure there are a lot of guys out there who are just bad guys trying to manipulate the system. But when you're not, which I am not and you go through this journey and you see shareholders like you on for 5 years, it's like I was looking at the NOBO List earlier, and we have like 11,000 shareholders and a lot of them have only 200, 300, 500 shares. And so many of them are familiar to me, and I really -- that's why I get on the call. That's why I try to do it differently than everybody else. Like I -- why the hell else you guys that help us try to build a dream, right? So I appreciate that, Andrew.
Andrew Qranah: We appreciate everything you've been doing. Now as you've seen a lot of my comments, I've always been and will always be worried about reverse split especially after the last one that hit us it kind of secreted us up really bad. How likely it is for us to have another one. And if we do have another one, what would it be? I know the last one was 500:1, I believe, if I'm not mistaken, what would it be?
Jeremy Frommer: That was the survival reverse so to speak. It was either that or wind up in the gray markets, which would have been into everything. I often think about that. I have a few stocks that I invest in the space, like if I think it's interesting. And obviously, I'm always for some f****** reason, averaging down as opposed to averaging up. But particularly when it comes to a reverse split for survival, the only thing an investor really can do is either sell or double down. And I think that, that was a really tough moment for all of us and for all the shareholders. As far as the future, Andrew, look, right now, you have to trade to qualify for the New York, you have to trade for 20 trading days in a row, 30 calendar days above $3, all right? Now there are a lot of theories obviously about reverse splits. On the last reverse split when we got wiped. We had to do small financing. Today, we have to do no financing. So of reverse splits where you don't have to do a financing, you're going to be better off than the ones where you do a financing or a toxic structured product. The New York for some reason and the NASDAQ for its reasons and the other national exchanges have chosen to use static numbers as opposed to derivative variable numbers for their listing standards. What do I mean by that? The $3 number is a random number. It has no quantitative meaning no different than if it was $2.50, $4, $2. And so it's a randomly chosen number. No different than needing 400 shareholders. And remember, if you split 10:1 and you have 1,000 shareholders that prior to it had the qualified amount of round lot shares if you split too large, too heavy, you're going to reduce your round lot shareholders and then you're going to have to attract new shareholders to split. So you have to be able to balance the needs of all these things when deciding on a split. So what does all that mean in answer to your question. First, it means there isn't really a simple answer that you're looking for. If for some reason, the stock is still here, as we get closer to the moment of listing on the New York of the -- like the application where the gun goes off, and the 20-day count begins, I will reverse the stock if we are here, not because I want to reverse it, but I have no choice. Now look, we could sit and debate theories about whether or not between now and then the stock gets closer to $3. If it does, I'm less likely to split. Obviously, I'd love to see a self-fulfilling prophecy take place in the stock. It's not like -- it's not like it is an impossibility, it is just a lower probability. Now someone bought the stock trading at $0.50. Today, traded whatever, 20,000 shares. I didn't quite catch it before the call. But you're talking about, what, $10,000. So if one does the math, you could make an argument that it shouldn't be that difficult to create buying power that would take the stock to that $3 level. And again, I'm a believer that if it gets to 2, it gets to 3. That's just the nature of these type of trending stocks. But if it stays at $0.50, and we want to go to the New York, then sure we have no choice but to reverse -- but remember, that's not reversing so that we can stay on the NASDAQ or survive another day somewhere. It's reversing leaving a lot of cash on our balance sheet and a New York stock without any debt, like when we list in the New York, we won't have any debt, no more. No payables, a beautiful pure play with a fleet that we're building technology that's driving revenues at ridiculous growth rates these days, higher than I ever expected. So like the reversal come if it has to come, is the answer, Andrew. And I say everybody who fears it, what can I say? There's only one way up to the New York. You have to be over $3. And to stay on the OTCQB makes no sense. What say you, Andrew?
Andrew Qranah: Okay. I mean that does answer my question. I appreciate it.
Unknown Executive: Next, we have Leigh, who's had his hand raised.
Jeremy Frommer: Sorry about taking so long, Leigh.
Unknown Analyst: Yes. Just curious about what the proposed valuation looks like of that the Board is interested in...
Jeremy Frommer: Good question.
Unknown Analyst: For it going public. Obviously, there's been 7 million US raised from my last call with Mark. So taking into account capital, obviously, prerequisite for uplift. Proposed valuation. Just curious on structure.
Jeremy Frommer: Yes. Look, on a comp basis, taking a look at our growth rate and our -- just looking at a discounted cash flow for our company, I can easily make an argument that its peers trade in the $150 million to $200 million market cap, like these kind of growing airlines that have what we have, which I think is a little bit of a secret sauce. I don't think you can triple revenues the way we have and lower operating costs without having a little bit of a sauce. But I think when we look at the company, we look to validate ourselves at about $150 million to $200 million. Now where it trades in the microcap space Leigh,. I don't -- I never have nor will I ever be convinced that a price of a stock on the OTCQB is indicative of anything but a bunch of moods people are in on a particular day and how algorithms behave in an era of rapid trading in this space by a few market makers. And so like getting the hell off of the OTCQB is when we'll know the truth of what the value is. But that's my perception of value from the deep analysis that I've done, and I could get pretty geeked out over it with you if you wanted to.
Unknown Analyst: Well, sorry, so the $7 million that was obviously raised recently, at what valuation was that money raised at?
Jeremy Frommer: Around 50 -- it was $0.50 could be higher. It depends sort of what price we up is that with a $0.50.
Unknown Analyst: Okay. So you're proposing that you think you'll have a go-to-market structure of approximately 75 million shares outstanding. Is that correct?
Jeremy Frommer: Depends obviously on the reverse, but you're not that far off.
Unknown Analyst: Okay. And the comps that you're referring to that sit in that $150 million to $200 million mark, which ones are those by reference.
Jeremy Frommer: I mean, you could look at a number of private ones, but I think taking a look at where FLYHT exclusive where some of the drone companies that are involved in the EV toll space that we work with. So like you have to look at sort of those type of businesses, you look where parts of the blade business have sold, there are a couple of interesting. I can't remember off the top of my head, the transportation ones that specialize in organ transplants that I think are very interesting I mean, there's multiple ways to look at it on a comp basis. That's the interesting thing about the company, like the tech alone how much is an Avinode and how much you're familiar with Avinode?
Unknown Analyst: No, no.
Jeremy Frommer: Avinode is like what I would consider the back-end system of the charter business. that most companies use. Avinode tech, my goodness, I don't really know how much they're worth off the top of my head, but it wouldn't surprise me if it's $0.5 billion to $1 billion. I mean, at least, I mean, the company develops. And then there's like other interesting tech platforms around the space. Remember, I'm not here to run an airline. That's one part of it. I'm here to build tech around the space. Any other questions?
Unknown Executive: Yes. We have an anonymous attendee asked how much convertible debt is currently on the books.
Jeremy Frommer: Well, there's -- the money that we've raised will convert on the uplift, which -- and that, as I've said, was priced at $0.50, which is all publicly disclosed. So my guess is that -- my guess, again, is that you'd have at the time of uplisting some, I guess, my structure or the plan is that you'd have 0 debt. That's when the previous individual was discussing is extrapolation of 75 million. That was -- there would be no convertible debt at that point. That assumes the 7 million and the $0.50 conversion. Does that help anonymous?
Unknown Executive: I don't see any other questions.
Jeremy Frommer: Wonderful. Well, I'm glad we had a chance to do this call. Anytime anybody does have a question, best way to do it is to join telling you just join the Slack channel that I often send out e-mails to join because that's where you really understand what's happening. I've chosen to take a very transparent path with everybody. And that is really the way to hear the journey firsthand. I'm not really into using the other social media platforms at this point. And I think that anybody who really has invested in the company can take the time to just join that slack and check in every so often. If you're not familiar with Slack, send our IR group a request, and we'll get you hooked up so that you can follow the story.
Unknown Executive: I've also added the link to join our slack in the chat.
Jeremy Frommer: Thank you so much, Aya. And thank you, everybody, for joining. Have a good night.